Operator: Good day, and thank you for standing by. Welcome to the Capgemini 2024 Full Year Results Webcast and Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Aiman Ezzat, CEO. Sir, please go ahead.
Aiman Ezzat: Thank you. Good morning, and thank you for joining us for the 2024 full year results call, and I'm joined today by our CFO, Nive Bhagat. In 2024, the market proved weaker than we anticipated at the beginning of the year. Clients did not increase their discretionary spend. And as we discussed before, Capgemini faced some unexpectedly strong headwinds in the second half, notably in manufacturing and in France. In this challenging environment, the group demonstrated a strong resilience of the operating model while sustaining investment in cloud, in gen AI and AI, in digital core and intelligence industry notably. And we made significant strides in developing our leadership in AI and gen AI during the year. For the full year, the revenues stand at €22,096 million, down 2% year-on-year at constant currency. And after bottoming up out in Q1 at minus 3.3%, growth rate improved slightly through the year. We end the year at minus 1.1% in Q4, which is in line with our revised expectations in October, reflecting the challenging environment we continue to operate into. Our bookings are solid and totaled €23,821 million. This represents a robust book-to-bill of 1.08 and demonstrate a strong commercial momentum despite client decision cycle that's remained lengthy in this environment. The operating margin is within the target set for 2024 at 13.3% of revenue. It is stable year-on-year despite the revenue decline, and this is a result of continued shift towards higher-value services combined with improved operational efficiency. Organic free cash flow remained strong in spite of the revenue decline at €1,961 million, in line with the 2024 target and the previous year. Our normalized EPS stands at €12.23 in accordance with our dividend policy. The Board of Directors is proposing a payment of €3.4 per share dividend at the Annual General Meeting. I will highlight a bit on the -- the environment remained challenging at the end of the year. The trends observed in Q4 are consistent with what we had anticipated. The manufacturing sector continues to experience strong headwinds, whereas we see an improvement in Financial Services and Consumer Goods and Retail and robust public sector throughout the year. From a geographic perspective, growth rates improved in North America, but also in the U.K., Asia Pacific and Latin America. However, as anticipated, France experienced a notable -- noticeable slowdown. Finally, on business, both Application and Technology and Operations and Engineering improved again this quarter. It is also worth highlighting our plus 3.2% growth for the full year in strategy and transformation, and this continued momentum illustrates the strength of the group's positioning as a strategic partner to its clients. Overall, discretionary spend remains subdued across the market with only green shoots in Financial Services. Clients continue to be focused on efficiency, prioritizing operational agility and optimizing costs. And this has driven a strong demand for transformation program leading to sustained traction for our cloud data and AI services as well as our innovative offerings in intelligent supply chain, digital core and generative AI. Let me highlight a few deals of Q4. In collaboration with NVIDIA, we are helping Telenor in the Nordics to develop an energy-efficient GPU as a Service. It's a data center offering design -- offering design for energy efficiency. This compute service will run entirely on 100% renewable energy, and the plan is to scale it into state-of-the-art data center where the excess heat generated by workload is planned to be reused in Oslo's local heating system. For U.S. utilities provider, we are upgrading and deploying an advanced metering infrastructure to support the electrical grid modernization. The system will utilize intelligent edge devices and distributed energy resources control over a common digital communication network. Advanced analytics with machine learning will enable a real-time grid model with PowerFlow providing proactive alert disruptive grid events from storms or in service infrastructure failures. PowerFlow demand balance ultimately enabling customers to better manage energy efficiency. And from a global technology company, we are currently delivering a highly complex digital core program with a large-scale CPSI transformation. This milestone has been achieved jointly with our recently acquired data platform company, Syniti, who was in charge of the data transformation. This illustrates what the synergies at the acquisition of Syniti can deliver. Syniti is truly a unique asset on the market around corporate data. Data is the fuel to create value with digital transformation, and Syniti has a global team of over 1,200 data-focused experts with unique track record on data-driven digital core business transformation, particularly around [indiscernible]. We already see good synergies and target substantial growth opportunities as we can see from some of the bookings achieved by Syniti in Q4 and of course, given the critical role of high-quality data and AI and gen AI in client projects. So looking at generative AI, we are recognized for our leadership and the quality of our services. Demand from clients remains dynamic and has supported strong gen AI bookings that accounted for around 5% of Q4 bookings and close to 4% full year. We delivered hundreds of projects from proof-of-concept to larger program to deploy use cases at scale. We deliver value, bringing the best solutions supported by a large ecosystem of technology partners. It is also the result of continuous investments we have been making in our capability and in our assets with now 150,000 talents have been fully trained to leverage the benefits of gen AI tools in the project we deliver. And with the rise of Agentic AI, we are accelerating value creation with hyper automation enabled by AI agents. We are able to automate highly variable processes that could be automated by just -- could not just be automated by data RPA or traditional AI. And there is a traction, as you might have heard in the market for AI agents, and we are positioned to capture growth, thanks to our investment and assets. We strengthened our set of offerings to infuse them with AI agent. For example, it's the case for our RISE platform that was upgraded with the AI agent framework to propose for use at scale involving custom AI agents. So maybe interesting to look at some of the examples of agents deployment. So we're helping a global logistics company enhance its finance and accounting process, operation with CI agents to assist and empower human workers. Billing analysts are supported in detecting anomalies on invoices to finalize the booking processes. And dispute managers are empowered by AI agent to manage the case in less than 1 minute compared to previously 10 to 20 minutes. For European utility, we are building Agentic application for the procurement department, AI agents retrieve, scan and verified documents within the digital core of the company, streamlining approvals and reducing significantly errors. And for a global consumer goods company, we are leveraging Agentic AI technologies to transform end-to-end marketing value chain, creating personalized consumer experiences, providing tailored interaction and streamlining marketing operations. In 2024, we also demonstrated continuous leadership in corporate responsibility. We achieved major progress in our ESG road map. From an environmental standpoint, we reduced our absolute emissions Scope 1, 2 and 3 by 35% compared to 2019. The share of renewable energy in the group electricity consumption reached 98%, up from 96% in 2023. And the group was also confirmed as a constituent of the Dow Jones Sustainability Index Europe and maintain its position on the A list in the 2024 CDP assessment. We also made notable progress on gender balance. Proportion of women in the group reached 39.7%, up by almost 1 point year-on-year and up 7 points since 2019. The proportion of women among the executive leadership position reached 29%, up by almost 3 points year-on-year and more than 12 points since 2019. And we continue to invest in our talent. The average number of learning hours per employees trained reached 77 hours last year, significantly up notably the expansion of our gen AI training program. We also extended our impact on digital inclusion, our various program and partnership with leading nonprofit organization benefit directly or indirectly, almost 3.2 million individuals in 2024. Finally, on governance, we made good progress around cybersecurity and ethics. Now as you know, we are focused on the top line growth. So in spite of unfavorable mix, geographic mix and sectorial mix, we are focused on -- to see how we can actuate top line growth. And as I announced in Q3, we launched a set of targeted actions to unlock potential at every level of the organization for fueling growth and driving efficiencies. We are simplifying processes, streamlining operations to ensure client focus and increase efficiency while sustaining our investment. So we have defined 4 areas of focus: Further simplification of the operation and the streamlining of key business processes and acceleration of decision-making; second, improving the effectiveness of the go-to-market to reignite our growth with a high-performing sales and support organization, focused 100% on client success. On the competitiveness of our offering and delivery, that means more gen AI and automation in all what you deliver and more focus on the excellence of our delivery; and finally, around talent and talent deployment. First, the acceleration -- accelerated investment in high-growth area to be able to create more scalability where we see a huge growth and also accelerating the efficiency of talent deployment by leveraging the global platform we have deployed. Now I'm convinced that this plan is a high focus for the group will unlock good growth opportunities. Now coming to the outlook. We do start the year with contrasted trends. And overall, we want to remain cautious in this uncertain geopolitical and economic environment, notably around manufacturing and Europe. As context, we adopted a wider growth bracket from minus 2% to plus 2% at constant currency to accommodate the balanced outlook. At the bottom, it factors a deterioration of the environment in the second half, even if we don't see any early sign at this point, and at the top, it incorporates some improvement in the environment. The scope impact is expected to be in the range of 1 to 2 points. The seasonal decline in revenues between Q4 and Q1 should be lower than historical average. With this start, we expect constant currency revenue growth for H1 2025 to be -- to remain in the same range as Q4 2024. On the operating margin, we target 0 to 20 basis point improvement, leveraging our improved offering mix and continuous operational improvement. Finally, we target to maintain our strong cash flow conversion with an organic free cash flow of around €1.9 billion. Thank you for your attention, and I now hand over to Nive.
Nive Bhagat: Thank you, Aiman, and good morning, everyone. Before I begin, you will notice that we have changed the format of the slide slightly. Information remains the same. And if you want to look at this in the old format, it is available in the appendix section. Now let me share with you the highlights of our full year 2024 performance. As mentioned by Aiman, in an environment that proved weaker than initially anticipated in 2024, Capgemini demonstrated the resilience of its operating model. Group revenues reached €22,096 million in 2024, down minus 1.9% on a reported basis and minus 2% at constant currency. Operating margin amounted to €2,934 million or 13.3% of revenue, stable year-on-year. After other operating expenses, financial and tax expenses, the net profit group share reached €1,671 million, up by 0.5% year-on-year. Basic EPS increased by plus 1.2% to €9.82. Normalized EPS reached €12.23, down minus 1.7% year-on-year. Finally, we maintained organic free cash flow generation at a record high level with €1,961 million in 2024. Moving on to our quarterly revenue growth. Q4 came at the top end of the range implied by our October growth outlook. Revenue was down minus 1.5% organically. This represents 60 basis point improvement compared with the Q3 growth rate and brings our organic growth for the full year to minus 2.4%. Accounting for scope impact, constant currency growth was minus 1.1% in Q4 and minus 2% for the year. FX became a tailwind in Q4 with a positive impact of 50 basis points, largely due to the appreciation of the British pound and U.S. dollar against the euro. Overall, FX had a positive impact of 10 basis points for the full year. As a result, reported growth was minus 0.6% in Q4 and minus 1.9% for the full year 2024. At this point, we expect FX to have a positive impact of around 1 point for the full year 2025. Moving on to the bookings. The group maintained a strong commercial momentum in 2024 despite client decision cycles that remain long. Bookings totaled €23.8 billion for the year and €6.8 billion in Q4. With a book-to-bill of 1.22 in Q4, we end the year with another strong quarter. This brings the book-to-bill for the full year to 1.08, which matches are historical high. On a year-on-year basis, 2024 bookings are down 0.5% at constant currency with Q4 earnings positive at plus 1.9%. Looking first at our revenues by sector. The group experienced contrasting sector developments throughout the year. Some sectors accelerated as anticipated and returned to growth, but others deteriorated visibly. Today, I will focus my comments on Q4 since full year growth rates do not reflect this. In Q4, Financial Services recorded another visible improvement in its growth rate. As a reminder, this is our second largest sector and grew plus 2% at constant currency in Q4, marking its return to growth. CMP also recorded a third consecutive quarter of improvement. And with a rebound in consumer goods and retail, both sectors posted positive growth in Q4 at plus 0.6% and plus 1.3%, respectively. On the other hand, and as anticipated, manufacturing further contracted. Growth rates decelerated from minus 3.4% in Q3 to minus 6.1% in Q4. The Energy & Utilities and Services sectors also decelerated in Q4. Finally, the public sector remained solid in Q4, confirming the sustained momentum recorded through the year. Moving on to regions. Let's look first at Q4 trends and how year-on-year growth rates compared to those reported in Q3. Growth rates improved substantially in North America, but also in the United Kingdom and Ireland and in the Asia Pacific and Latin America region. However, this slowed down visibly in France as anticipated and decelerated slightly in the rest of Europe region. Turning now to the full year 2024, where I discuss the growth rates at constant currency. In North America, revenues were down minus 4.1%. The financial services, consumer goods and retail and TMT sectors improved significantly in H2, but this was partially offset by the slowdown in manufacturing and public sectors. France's revenues decreased minus 3.5% in an environment that clearly deteriorated towards the end of the year with a significant contraction in the manufacturing sector. As in most regions, financial services clearly improved through the year. The United Kingdom and Ireland region demonstrated resilience with minus 1% decline in revenue, driven primarily by the contraction of the consumer goods and retail sector. The region's return to growth in H2 was driven by the recovery in Financial Services and continued strength in the Energy and Utility sector. Revenues in the rest of Europe region were virtually stable year-on-year. The public and energy utility sectors remained solid through the year, and Financial Services returned to growth in H2. These positive trends were offset mainly by the manufacturing sector. Finally, revenues in the Asia Pacific and Latin America region was slightly down, minus 0.3%, driven by a slower financial services sector in the Asia Pacific region. In contrast, the public sector in this region and the consumer goods and retail sector in Latin America both enjoyed double-digit growth rates. Our operating margin improved in all regions except France. This reflects the portfolio mix improvement across the board, but also contrasted activity trends. Specifically, operating margin in North America and in the U.K. and Ireland region increased reasonably year-on-year, up by 90 basis points and 110 basis points, respectively. The rest of Europe and Asia Pacific and Latin America regions also delivered year-on-year modest margin improvement. Conversely, operating margin in France suffered from the lower activity level combined with some one-offs, leading to a decrease of 240 basis points year-on-year. Moving on to revenues by business. Starting with Q4. Revenue growth rates improved from Q3 in both applications and Technology and Operations and Engineers. Our strategy and transformation business growth rate remained positive but decelerated. For the full year, at constant currency, total revenues of Strategy and Transformation Services were up 3.2%, illustrating the strength of the group's positioning as a strategic partner to its clients. Total revenues of Applications and Technology Services, which is a Capgemini core business, declined by minus 2.1%. Lastly, Operations and Engineering total revenues decreased by minus 2.1%. Growth in Business Services was more than offset by the decline in cloud infrastructure services and engineering services. Moving on now to the headcount evolution. Total headcount stands at 341,100 employees at the end of 2024, up 5.2% year-on-year and 0.7% since the end of September. The offshore leverage stands at 58%, up by 1 point compared with December 2023. Lastly, attrition increased slightly over the past quarter. This brings our last 12-month attrition rate to 15.7% at the end of 2024, down by 1 point year-on-year and within our nominal operating range. Moving on to the analysis of our operating margins. The continued shift in Capgemini's mix of offerings towards more innovative and value-added services, combined with enhanced operational efficiency, lifted the gross margin by 50 basis points to 27.4%. This has enabled the group to offset the incremental investment in selling expenses to fuel our future growth. It also offset a slight increase in G&A expenses. The ability to maintain its operating margin in the face of a soft demand environment while investing for the future illustrates the resilience of the group's operating model. Moving on to the next slide. Our net financial results for 2024 is a net income of €13 million as opposed to a net expense of €42 million last year. The swing was primarily driven by higher interest income on our cash assets, while our bond debt is entirely at fixed rates. The income tax expense increased by €55 million year-on-year to €681 million. Consequently, our effective tax rate reached 28.8% in 2024 compared with 27.2% in 2023. Let's turn now to the recap of our P&L from operating margin to net income. The other operating income and expenses are down €67 million year-on-year to €578 million, mainly driven by lower restructurings. Our operating profit is €2,356 million or 10.7% of revenues, up by 40 basis points year-on-year. After financial and tax expenses, our minority interest and equity affiliates, the group share in net profit amounts to €1,671 million, up plus 0.5% on 2023. Our active share capital management led to a 0.7% decrease in the average number of shares outstanding. Consequently, the basic EPS is up by 1.2% to €9.82, while our normalized EPS is down at €12.23 or minus 1.7% year-on-year. Finally, let's have a look at the evolution of our organic free cash flow and net debt. We maintained a strong cash flow generation in 2024, despite the lower revenues and increase of our cash tax rate. Our organic free cash flow amounted to €1,961 million, in line with our target of around €1.9 billion, and leading to, once again, an organic free cash flow to net profit ratio above 1. A few final words on capital allocation. Net of the €415 million capital increase related to ESOP, Capgemini redeployed close to €2 billion of capital in 2024, essentially funded by the organic free cash flow of the year. The group invested €827 million in acquisitions. We also paid dividends of €580 million and allocated €972 million to share buybacks, €498 million as a part of our multiyear program and €474 million to neutralize the dilution of the 11th employee share ownership plan. In October 2024, the group also redeemed in full and at maturity the €600 million bond issued in April 2018. Consequently, our net debt stands at €2.1 billion at the end of 2024. This compares with €2 billion at the end of 2023 and €2.8 billion at the end of H1 this year. So on that note, I will now hand back to you for the Q&A session.
Aiman Ezzat: Thank you, Nive. Let's now open the Q&A. [Operator Instructions] Operator, could you please share the Q&A instructions.
Operator: [Operator Instructions] We will now take the first question from the line of Mohammed Moawalla from Goldman Sachs.
Mohammed Moawalla: I just wanted to sort of better understand the construct of your outlook. Obviously, you've been helping us giving us some color on H1 and H2. But first of all, how should we think of this kind of cadence? But also by geography, in terms of the -- when we think of the midpoint of the guidance, what sort of exit rate growth are you assuming in the second half in North America? And secondly, in terms of sort of discretionary spend, what's your kind of visibility around that in terms of the kind of short-term discretionary spend? You've talked about that as being a kind of lead indicator. How does that sort of differ between North America and Europe perhaps? And then on top of that, I just wanted to clarify, you talked about some additional levers that you're looking to drive. To what extent have you have more control and in the pipeline did perhaps offset some of the kind of macro headwinds you talked about with those additional levers around gen AI, in particular?
Aiman Ezzat: That looks like a question with plenty of questions. Okay. Listen, on the outlook, I mean, clear, the H1 constant currency, we expect it to be in line with Q4. That’s around the same level. I mean, we see some scenarios for H2, a scenario that [indiscernible] can really deteriorate further. We don’t see sign of this scenario, but I have fresh 2024 in my mind still. So I’m not excluding any scenario at this stage. Even if we don’t see – we don’t expect the scenario to happen today, we need to be cautious. When you see the uncertainty on the global macro economic side and on the geopolitical side, I think everything can happen in H2 at this stage from my perspective. But we don’t see signs of that. Of course, there’s a scenario where things – the environment improves. And that’s what takes you to the to the higher end of our growth rate. Discretionary spend, we have seen it for the moment really come back in financial services. Outside of that, clients are still very tight in terms of the spend, and the search for efficiency, for optimization, notably deploying new technology like AI, gen AI, cloud, et cetera, is really what’s the main focus versus growth agendas. And that, of course, gives – orientation to overall how they’re deploying the spend and the fact that this question will remain limited, at least for the first half. In terms of growth for us, what we’re looking at, I mean, I think part of the program that we have launched is really around the sales effectiveness. I mean our sales growth have increased. I think we can deploy more effectively our sales, not necessarily reducing the spend, but driving more efficiency out of sales, and that’s going to be one of the focus that we have as part of the program we have launched.
Operator: We will now take the next question from the line of Balajee Tirupati from Citi.
Balajee Tirupati: Two questions from my side. Firstly, if you could clarify the inorganic contribution that you have factored within your outlook range. And then second question on generative AI. Could you share a view on implications of DeepSeek's breakthrough on IT services sector? And given general puts and takes around generative AI, where do you see IT services industry is at present between facing headwinds from passing on efficiency gains and incremental work as clients adopt technology and new applications?
Aiman Ezzat: Yes, the organic contribution is 1 to 2 points. It’s clear that it’s 1 point on the lower end and up to 2-point on the high end. That’s really what’s in the build into the guidance today. So I hope that clarifies that point. On general impact of DeepSeek. Listen, DeepSeek is a model. I mean, a number of companies have been working on trying to develop lighter-weight model. It has 2 characters. One is a lighter-weight model. So in a certain way, it can be deployed at the edge. Notably, more – potentially more by phone, in PCs, in a car, in electric vehicle. So that’s one of the advantages of having lighter-weight models to consuming less energy and requiring less power. And the second thing, it’s open source. It’s not the first open source. LlaMa is open source, AI had an open source model. What we like about open source model is that the weights are available notably, and we can – we can better fine-tune the model and make it more effective because we can play with the ways of the model be able to fine-tune it. So for me, it’s part of the new generation of models going to actually the deployment of gen AI. We will need some of the large models like the OpenAI, the ChatGPT1, et cetera, but we also need some of the lighter-weight model. And it’s a mix of use for me, all these models contribute to faster deployment of and penetration of gen AI. I mean, we are – listen, it’s a trend that will not stop. So we are maturities increasing. We start to deploy more clients to get more used. We start deploying at scale some of the first one, which will actually deployment of the future one. There is – it’s going to take time, but there is definitely a trend towards the deployment of AI and gen AI companies. It is the #1 priority that we have seen in terms of areas of investment. After that, it’s cybersecurity, digital core, et cetera, but gen AI and AI remains the top #1 priority even if the expectations are less than they were, I’d say, 12 to 18 months ago. In terms of impact on our business, it’s – again, there’s productivity gains that we will pass to the customers. They’re incremental, so it’s not suddenly you improved by 30% or 40% productivity. So it’s incremental. So it goes – supports our drive towards increased efficiency of delivery that we have been pursuing for the last 20 years. And on the other side, it creates new opportunities for business. I mean one of the areas, clearly, for example, we have seen, which we think is going to be quite interesting, can deliver good growth based in mainframe modernization. I mean, we have now a pretty solid offering around mainframe modernization and a lot of interest from clients. We really help – we’re going to help clients deal with a lot of the legacy and mainframe they have, which will unlock future potential in terms of spend for other technology investment. So I remain on the right side, I’d say, of the evolution, we consider gen AI is a good thing overall.
Operator: We will now take the next question from the line of Sven Merkt from Barclays.
Sven Merkt: Great. Two on the margin, please. Maybe first on the outlook. The midpoint is for a slight improvement, and considering the guided organic growth outlook, what are the sources for a margin improvement in 2025? And then secondly, in 2024, we have seen obviously a move in the cost structure with the gross margin improving offset by higher sales and marketing and G&A expenses. Are you planning for any further movement in the cost structure in 2025?
Nive Bhagat: Thank you, Sven. So I’ll give you both perspective. So as you saw, of course, our gross margin had improved in 2024, and we improved that in H1 as much as the full year. And it’s important to note that our biggest lever going into the future will always be that improvement in the mix. So the improvement in terms of the portfolio mix, and that is where our biggest, if you like, shift in margin will always come from. But in addition to that, and I think to answer part of your second question as well, we see levers more across our operation effectiveness. So whether it is our utilization or better deployment of our people or onshore, offshore, et cetera, we will continue to work those levers as we go into 2025. But we will also be looking at G&A and looking at what we can do, particularly in G&A. Aiman talked about more sales efficiency. And in that context, we will try to make sure that we get more bang for the buck, if you like, in terms of what we do on our sales expenses as well. So to answer your question and summarize that, really, the levers are biggest portfolio improvement and therefore, the gross margin, followed then by operational efficiencies which we will look at. And then, of course, we would particularly be looking at G&A as well as we go into the future.
Operator: We will now take the next question from the line of Frederic Boulan from Bank of America.
Frederic Boulan: So my question is around free cash flow generation. Strong performance again in 2024. If you can talk about some of the moving parts or specific actions you're planning to take for 2025, not seeing a small decline in the guidance despite the performance in '24. So any areas in particular you want to flag? And then if I can get a follow-up around headcount. Second quarter of recovery in terms of head count, more focused on offshore if you can give us a perspective on the investments you're doing here, is it tied up with your higher growth you're seeing on demand in financial services, in particular, aligned with your cost structure with more offshore. So any comments around headcount development would be very useful.
Aiman Ezzat: You want free cash flow?
Nive Bhagat: Yes. So our mantra is and has always been that our free cash flow to net income should be above 1. And that's something that we're always focused on, as you've seen the performance over the last few years, as you've seen now. There's a lot of focus that's gone into it in terms of financial discipline, whether it is invoicing, collections, et cetera. So it's every day humdrum to make sure that we actually do what we do to keep on [indiscernible] that cash performance. But having said that, it's not an easy environment. It is -- clients are holding on to cash much more than they have before. So it does take a lot of financial discipline if you like to be able to get there. Now I don't entirely understand what you meant by the guidance being lower than '24 because the guidance in '24 was around €1.9 billion. And that is what is the guidance for 2025. So perhaps I don't fully understand what you're...
Frederic Boulan: You did better -- yes, you did better in '24.
Aiman Ezzat: It depends what you mean by around 2030 okay. I think, basically, it's around the same. We consider we can deliver around the same. It could be a bit lower, a small situation in working cap that can secure this number, but we're showing the resilience and that number with the growth that subdued is still there, and we can still deliver the around the same cash flow.
Nive Bhagat: I take that as a positive, but yes. Aiman, on the headcount?
Aiman Ezzat: Yes, on headcount. So no, the growth – we have said that the growth has resumed already since Q2 in India. So several areas of growth we see, one, Financial Service for sure, with the recovery in financial services is driving quite a bit of growth in India. In digital core, and notably SCP, high-growth area, all data AI, as you can imagine, supply chain. So there is a number of areas, which are the high-growth areas. Where we are in areas like PLM and digital continuity, and that’s why we’re really investing. This is what the high-growth area, and we’re gaining efficiency in front of that in some other areas, leverage in AI in terms of coding testing in more generic area. We’re finding improvement in terms of efficiencies. So overall, we see that on the other side, we do have a reduction in the number of onshore countries because of some of the pressure on the top line. Of course, we’re taking the action to be able to continue to equilibrate our headcount and to be able to drive a good utilization to support our margin.
Operator: We will now take the next question from the line of Laurent Daure from Kepler Cheuvreux.
Laurent Daure: I have two questions. The first is when I look at your Q4 performance, there are 2 regions that did better. It's North America and Asia-Pac and Lat Am. When you projected yourself into the first part of the year, do you expect those 2 regions to continue to improve sequentially? Or do you consider the fourth quarter to be a bit of a one-off there? And my follow-up is on the profitability side, more on the French business, which is accelerating its decline. It's a country with less flexibility, I would say, on the cost. How do you plan to manage fresh margin in 2025?
Aiman Ezzat: I’ll start with the second one. Listen, you know very well France. I mean, it’s a high headcount country for us, which means margin is very sensitive to [indiscernible]. We have seen the margin that recovered when the activity level went down, which is a margin driver again because the activity level go down. The margin is highly related to activity. So we do expect bit-by-bit activity to improve in France with that spot on the margin, but we’re not going to recover the margin in France in 2025. It will take some time before we’re able to do that. Same thing. We need to regain the activities. This is the primary and best lever to be able to improve the margin back in France. The second one was around the evolution around the growth of different activity. Again, I – there always can be fluctuations. So I remain at this stage reserved a bit about the evolution of the activity in the first half. We are comfortable overall on where we are, but there can be fluctuation in some regions. The trend seems to be positive. But again, fluctuation can happen overall in – by region and by sector because region and sector will have an impact. So – but again, overall, if I look at the full year of 2025, we should see notably in H2, Americas being really supportive on the growth side.
Operator: We will now take the next question from the line of Toby Ogg from JPMorgan.
Toby Ogg: A couple for me as well. Just on the growth. So I know you've indicated H1 should be similar to Q4 on a constant currency basis. But how should we think about that on an organic basis, just given the indication for 1 to 2 points of M&A contribution in '25? And how should we think about that M&A contribution evolution as well through the year? And then just secondly, just on the margins. I know we've talked about better gross margins as the portfolio shifts, but then also these incremental investments in selling. Could you give us a sense for whether this higher sales intensity required to drive the growth is likely to be a more permanent feature going forward? And what are the main drivers of this need for higher sales investments?
Aiman Ezzat: Listen, on the – we don’t guide organic. So there’s always impact from constant currency, as you imagine. It could be up to 1 point in H1 from M&A., after – through the year, depending on the activity level and the acquisition. So we see the top end is 2% for the full year in the guidance that we gave, which means it is linked to further acquisition that would happen during the year that would have a higher impact by the end of the year. But at this stage, it’s too early. It’s because acquisitions are black and white. So we cannot really guide around the impact of acquisition. We have this 1- to 2-point bracket, which we expect for the full year. On the gross margin, the gross margin has improved. It’s good on sales – I mean, I mentioned it, I think we can improve our sales effectiveness. So it can drive higher growth, which means at the end with the same level of investment, we should be able to drive better growth, which mean percentage of sales or business development as part of revenue should come down overall over time. I’m not giving a time line for that because I want to make sure that we drive the right level of investment to beef up the top line, but it’s not something that’s going to be a constant because I do believe there is effectiveness to be achieved there.
Operator: We will now take the next question from the line of Charlie Brennan from Jefferies.
Charles Brennan: Great. Just two questions from me as well, if I can. Can I just come back to the start year momentum again? Obviously, similar constant currency growth to Q4 and Q1, but with a higher M&A contribution, it implies a slight slowdown in organic trends in Q1. Is that just conservatism at the start of the year? Or does that reflect some known programs that you know are terminating and not restarting during the quarter? And then secondly, just around AI. Just if I look at your bookings performance, plus 2% bookings in Q4, but AI bookings are contributing 5 points of the total. That implies that non-gen AI bookings are actually down. Can you just give us some insight as to how customers are thinking about funding AI investments and opportunities. Are they effectively just squeezing dollars elsewhere in their IT spend to fund that investment? And can you just give us some insights there?
Aiman Ezzat: Yes. So first, historically, we do have a decline in revenue top line between Q1 and Q4. So – but we do expect that to be less prone than usual, but it impacts the fact that, yes, organic growth in Q1 could be below Q4, which is normal based on the seasonal decline that we expect, and that’s what gives the momentum at the beginning of the year. And on the – so is it conservative? You don’t expect me to be [indiscernible], so it’s between realistic and conservative. On the bookings evolution, impact of gen AI. I mean it’s difficult to look at that. There’s always things that target that growth. So when we have growth in some areas, it implies that the rest is declining, no. I mean there are growth in a number of areas. Yes, there going to be more subdued in other areas because it’s not just incremental, it’s an evolution of the portfolio. So by definition, we have things we are growing and things which are declining a bit. On the gen AI funding, again, it’s priorities. AI is a priority for clients. Why? Because they see value from it. They see return on investment from it. The question is going to be incremental, not incremental, et cetera. I know always the discussion. The reality you see that client spend is going to increase a bit in 2025. Look at any survey around, by definition, some of that a bigger proportion of the client spending is going to go towards gen AI at the expense of some other investments, right? Because they see more value in investment in gen AI to drive efficiency, agility, even innovation, et cetera. And more and more, a lot of things we do will have a gen AI connotation. I would not say it’s like digital. But at the end of the day, most of the things we do have to – something to do with cloud, more of the things we do today have something to do with digital. And in the future, most of the things that we do will have something to do with AI and gen AI. And just a clarification on this, the 5% is linked to gen AI. It’s not linked to AI overall. AI overall would be bigger. Here, we’re talking about just the gen AI part related bookings for clarification.
Operator: We will now take the next question from the line of Nicolas David from ODDO BHF.
Nicolas David: My question is regarding M&A. I know that you already guided 1 2 point impact in '25. But I mean, you already have 1 point of embedded impact based on the video closed already. It looked a bit cautious. Could you help us understand what is preventing you to be a bit more aggressive on that side? Is it market condition or your own strategy? Could you be more aggressive? Could you consider larger acquisitions? And my follow-up is regarding tax rate. You have been managing to get the tax rate below 30% over the last 2 years. Should we abandon the 30% long-term tax rate? Or is it something still applicable? And what should we expect in 2025?
Aiman Ezzat: M&A, something which can widely fluctuate. Yes, we have about 1 point in past. It could be 2, it could be more. But at this stage, I'm not going to give you a guidance. I'm not going to give more than 2 because right now, we are -- right now, we are on bolt-ons, and bolt-ons will not provide much more than that. So that's based on what we see currently. But as you know, we can be more aggressive if you really see something that makes sense. And on the tax rate?
Nive Bhagat: Yes. On the tax rate, remember that in 2025, we will have the transitory corporate surtax France that will come in, and that would bring roughly about 2 points or at 2 points to the ETR. So that will, therefore, hover around, so to say, 30% or thereabouts. That's something that you should keep in mind.
Nicolas David: All right. So it means that -- it means that excluding that, you still target 28% of underlying tax rate or...
Nive Bhagat: Well, it would be between 29% and 30%.
Operator: We will now take the next question from the line of Ben Castillo-Bernaus from BNP Paribas.
Ben Castillo-Bernaus: Question on gen AI. Could you expand a bit on what you're seeing in terms of customer demands for more pricing efficiency or savings being passed back to them given gen AI should lower the cost of delivery and some BPO or managed services work. Have you noticed demand from customers changing on that front?
Aiman Ezzat: Thank you, and that will be the last question. So yes, I mean, it's come as part of what we're able to deliver to customers. And of course, some of that is being passed to customers. It's not yet, again, large scale. There is productivity. It depends on the nature of the project. Of course, as you know, new builds have gen AIs more impact when you look at work doing around negative system productivity improvement coming from gen AI is much less. So it's really a mixed environment, but it's something you embed, and it's part of your competitiveness because your competitors are also embedding it. So yes, we are customers expect bit by bit cost improvement and efficiency coming from gen AI, like they expect from us to drive productivity every year. And that's something we embed as part of our costing because we get some of these benefits. And of course, we pass some of that to our clients as part of the competitiveness of our offerings. So yes, it is. Thank you all very much, and looking forward to interact with you in the coming weeks.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.